Operator: Good morning, everyone and welcome to InfuSystem Holdings’ Q3 2015 Conference Call. This is your operator, Eric. Let me first give you to Mr. Jonathan Foster, Chief Financial Officer.
Jonathan Foster: Thank you, Eric. First of all, let me get some administrative matters out of the way. The company issued a press release today. The release is available on most financial websites. Additionally, a web replay will be available on the company’s website for 30 days. Both the press release and Form 8-K and the company’s Form 10-Q for the quarter of 2015 were filed with the SEC today as well. Except for historical information contained herein, the matters discussed on the conference call are forward-looking statements that involve risks and uncertainties. Such risks and uncertainties could cause actual results to differ materially from those predicted by such forward-looking statements. The words believe, expect, anticipate, and estimate or other similar statements or expectations identify forward-looking statements. These risks and uncertainties include general, economic conditions as well as other risks detailed from time-to-time in InfuSystem’s publicly filed documents with the Securities and Exchange Commission. Specifically, information about risks and uncertainties that could cause the company’s actual results and financial conditions to differ from those predicted by forward-looking statements are disclosed in the company’s yearend report on Form 10-K for the year ended December 31, 2014 under the heading Risk Factors and elsewhere in the report and in other filings made by the company from time-to-time with the SEC including subsequent quarterly reports on our Form 10-Q. Forward-looking statements reflect management’s analysis only as of today. The company has no obligation to update the forward-looking information contained in this conference call. While discussing the company’s performance, the company will refer to certain non-GAAP measures, such as adjusted EBITDA and adjusted net income, which are not considered measures of the financial performance under Generally Accepted Accounting Principles or GAAP. A reconciliation of the differences between non-GAAP financial measures such as adjusted EBITDA and adjusted net income and the most comparable GAAP measures are contained in today’s press release. And with that, I would like to turn the call over to Mr. Eric Steen, our Chief Executive Officer.
Eric Steen: Good morning everyone and thank you for joining the InfuSystem Holdings Inc. third quarter of 2015 earnings call. Joining me today are Jan Skonieczny, Chief Operating Officer, Michael McReynolds, Chief Information Officer and Jon Foster, Chief Financial Officer. There are three things that I want to talk about today. Additional detail on our information technology expenditures for our electronic connectivity strategy and how it is improving our business. Our progress on expanding into new areas to increase and diversify our new revenue sources. And finally, some guidance on what we see for 2015 year end. But first, let’s go to the numbers and their comparison to our third quarter of 2014 results. In the third quarter, revenue was $18.7 million, an increase of 13%. Our net collected revenue was $17.2 million, an increase of 13%. We are first and foremost a rental company and looking just at the net collected rental revenue was $15.4 million, an increase of 16%. Gross profit was $13.3 million, an increase of 13%. Net income was $1.4 million, an increase of 61%. Adjusted EBITDA was $5 million, an increase of 21%. Earnings per share was $0.06, an increase of 50% compared to $0.04 per share in the third quarter of 2014. As we look at the results for September 2015 year to date, total revenue is $52.6 million, a 5% increase. Our net collected revenue is $48.8 million, a 7% increase. The net collected revenue of our core rental business rose 11%. Adjusted EBITDA is $12.8 million, an increase of 12% and normalized earnings per share were $0.14 versus $0.10 after three quarters in 2014, an increase of 40%. Our investment in IT and the implementation of our electronic connectivity strategy continues to gain traction with our customers, fueling our double digit rental business growth. We added another 21 sites on our electronic medical records integration bringing the total number to 73 sites. I’d like to give a bit more detail on our IT expenditures. As we had reported on previous calls, we have projected an IT capitalized spend in 2014 and 2015 of $9 million. I would like to provide more detail on everything our IT team has accomplished in a short period of time. Those who follow the company may recall that my first hire as CEO was Mike McReynolds, our Chief Information Officer. Previously the company did not have a CIO and there have been little if any work on integrating the IT systems of InfuSystem and First Biomedical which was acquired in 2010. Some of the things that our IT team has achieve are the launch of InfuBus, an EMR integration engine that is working seamlessly with all of the EMR integrations we have attempted including Epic, Cerner, Varian and Altos, with projects underway for Mosaiq, GE Centricity and All Scripts. Our EMR solution gathers all the necessary data for insurance billings with little to no work for our customers. We’ve already brought in $1 million in run rate of additional revenue and expect another $2 million to be added soon as a direct result of our investment in EMR. We’ve launched InfuExpress, a PC and iPad web application for our clinicians and patients that provides real time data entry and visibility from our billing and pump systems through their fingertips fully integrating our sales force, customer service and billing departments. InfuExpress reduces the amount of paper and follow-up calls related to the insurance claim process, expediting our claim process while reducing the number of rejected claims. These additional claims will grow our revenue while the time savings will lead to a lower sales expense as a percentage of revenue. We launched PumpPortal, a web tool providing complete lifecycle management where our customers can initiate service request and run equipment online 24x7. This will increase revenue and reduce operating costs in our direct pay business. We launched BlockPain Dashboard, a tool for reporting patient pain scores helping our orthopaedics surgery clients to improve clinical effectiveness which will help them increase their reimbursement. This tool has been a factor in the continued revenue growth of our pain management service. We launched the InfuTrack and InfuLocate, our new asset tracking inventory management and asset location system. We expect this system to help lower our maintenance CapEx by decreasing the number of pumps we lose. Additionally, we anticipate increased direct pay pump rentals through other infusion providers utilizing this value added offering. We’ve implemented BI360 business intelligence for company reporting requirements which is helping us to continue to manage costs and improve our profit margins. We’ve begun the implementation of salesforce.com for customer relationship management and tracking the new products and service offerings in our pipeline that we believe will help drive additional sales. We’ve also implemented IT projects to better improve our operating efficiencies, including consolidated Great Plains financial system for all business units of the company, all of our IT systems have been taken to the cloud while implementing state of the art cyber security systems and disaster recovery. I want our shareholders to know the value of our IT investments and I am proud of the IT accomplishments we have achieved as a small company in just two years. We have already seen an impact in the marketplace as we become increasingly connected to our customers. In 2016 we will begin to see the operating efficiencies of this investment as we streamline work processes driven by IT automation. Regarding our progress on expanding into new revenue streams. The pain management service continues to grow. We are now with a run rate of 6000 patients a year and getting paid at roughly the same rate from commercial payers as our oncology insurance patients. This growth is being achieved with only two fold times sales people as we prove the concept. Our direct disposable sales have doubled over prior year. We have increased our sales of IV sets, needle free valves and closed system transfer devices. Our September run rate is $3.5 million a year compared to $1.4 million run rate a year ago. That’s up 256% and there are lots of disposable product yields in our new sales pipeline. I have talked about the significant pipeline of new drugs that can be infused continuously at home with our pumps. Another one has just been approved last month, Yondelis or trabectedin is a drug for advanced soft tissue sarcoma. We’ve seen the population of these patients before in situations where we are providing pump rentals for clinical trials. Now with the FDA approval we anticipate seeing an increasing number of these patients. Regarding guidance for 2015 year end. Through the first quarters we had gained a net of 145 new oncology infusion clinic accounts, not counting the Ciscura purchase and we expect some even larger account gains in Q4. This increasing rental base combined with the fact that we have started the fourth quarter with several substantial orders for ambulatory syringe and tool and pole mounted pump sales of over $1.2 million. With that said, I confirm our guidance of double digit collected revenue growth for 2015. Now I’d like to ask Jon Foster to take us through the numbers in more detail.
Jonathan Foster: Thank you, Eric. I will highlight some of the key third quarter financial results. Our net revenue for the third quarter ended September 30, 2015 was $18.7 million, an increase of $2.1 million or 13%, compared to $16.6 million for the quarter ended September 30, 2014. During the period, net revenues from rentals increased $2.3 million, or 16%, compared to the same prior year period. Our net revenue for the nine months ended September 30 were $52.6 million, an increase of $2.4 million over the same prior year period. The company is focused on net rental revenues less bad debt, or otherwise known as net collected rental revenues versus prior year. Net collected rental revenues increased 16% to $15.4 million versus $13.2 million in the comparable period of 2014. Bad debt increased slightly for the quarter based on $2.1 million of additional revenue and is down 21% year to date compared to the prior year periods. This is as a result of our increased focus on new payor contracts and also patient collections. Gross profit for the three months ended September 30, 2015 was $13.3 million, an increase of $1.5 million, or 13%, compared to the quarter ended September 30, 2014. Gross profit year to date was $37.2 million, an increase of $1.5 million compared to the same prior year period. Gross profit, as a percentage of revenues, was consistent with the same prior year period at 71%. For the quarter and year to date, selling expenses were essentially flat as a percentage of revenue. Going to G&A, for the third quarter G&A expenses were $5.7 million, an increase from $4.9 million for the quarter ended September 30, 2014. As a percentage of revenues, G&A was 30% compared to 30% for the prior year period. For the nine months ended September 30, 2015 G&A expenses were $17.7 million, an increase from $14.7 million for the nine months ended September 30, 2014, whereas as a percentage of revenues is 34% versus 29% respectively. The increase in G&A expense versus the same prior year period was mainly attributable to increases in spending of IT and pain management initiatives of $0.8 million, increases in compensation and employee personnel of $1.1 million, increase in the stock compensation of $0.4 million and $0.6 million in expenses associated with the acquisition, transition and integration for Ciscura acquisition. The company has also during the year brought in, in-house certain services previously performed by outside advisors and contractors including tax, legal, information technology, internal audit. We’ve also increased headcount at our centers of excellence in Atlanta and Houston over the prior year. Net income in the third quarter increased 61% to $1.4 million equal to $0.06 per diluted share compared to net income of $0.9 million or $0.04 per diluted share in the same prior year period. Net income for the nine months ended – year to date – September 30 2015 were $1.7 million equal to $0.08 per diluted share compared to net income of $2.3 million or $0.10 per diluted share in the same prior year period. Now this decrease is largely due to the integration costs associated with the recent acquisition I just mentioned of $600,000, the significant investment in IT and pain management all included in G&A and also included the nine months for the current year’s $1.6 million and the extinguishment of debt costs with our switching our banks to JP Morgan Chase earlier this year. So adjusting for this and getting to adjusting net income, adding back the integration costs and the extinguishment of debt costs, for the three and nine months ended September 30, 2015 was $1.4 million and $3.3 million respectively compared to the same prior year periods of $0.8 million and $3.3 million. On the EPS basis, adjusted, $0.06 for the quarter, $0.14 year to date compared to the prior year period of $0.04 and $0.10. All of this is a significant increase over the prior year periods. Adjusted EBITDA for the three and nine months of 2015 was $5 million and $12.8 million compared to $4.2 million and $11.5 million for the same period in 2014, an increase of 20% and 12% respectively. As of September 30, 2015 we had cash of $1 million and $9.9 million of net availability under the revolver compared to $0.5 million of cash and $6.6 million availability under our prior revolver at December 31, 2014. During the third quarter, we made optional pre-payments of $2.9 million on our Term Loan A which we can apply against future mandatory payments. We are now prepaid two quarters, the fourth quarter 2015 and the first quarter of 2016. One of the efficiency measures that we continue to focus on is our turnover ratio as I sometimes refer to it rental revenue ratio. Taking just the rental revenue over our medical equipment and rental service at historical cost on an annualize basis, the ratio was 1.35, a slight increase over the previous quarter of 1.33. This is a result of our purchased pumps beginning to generate revenue. In ending, I think it’s important to stress that pump purchases earlier in the year along with our acquisition of Ciscura are now showing up on our top line revenue growth and in the bottom line, especially adjusted EBITDA. At the same time management is focused on balancing this growth with our debt levels. Eric?
Eric Steen: Thank you, Jon. In conclusion, we’re growing our business in a fiscally responsible manner and expanding our market share for both third party pay and direct pay rentals while increasing our sales of recurring revenue disposable products. Our investment in IT and electronic connectivity is attracting customers at a record rate. And we expect to see significant operational efficiency improvements in 2016 and beyond. We expect to use the resulting free cash flow to invest in new revenue opportunities first and then to pay down debt. Looking ahead to the new year, the future for InfuSystem has never been brighter. Now, I’d like to open up the lines up for any questions that you may have.
Operator: [Operator Instructions] And our first question comes from Douglas Weiss from DSW Investments.
Doug Weiss : Can you just talk quickly – and by the way I got briefly cut off, so I don’t know if I might have missed something but can you just talk a little bit about the bad debt expense, it ticked up slightly in the quarter?
Eric Steen: So the bad debt expense, it was about a year ago that we were focusing some efforts on bad debt, so the bigger improvements that we’ve had in bad debt versus prior year were in the previous quarters. One of the things that we see with bad debt is when we grow rapidly we get into new accounts, and sometimes even in new geographies with a new large insurance provider and we need the patients before we know what insurance they have. And then when we see a lot of patients that are out of network we increase and redouble our efforts to get a payor contract with that new insurance provider. So you may recall when we get new patients that are out of network the revenue for those patients is higher but then we book a larger bad debt reserve and then as we get into new contracts – once we get the payor contracts, the next time that we see those patients in the future we hope to have them be in network going, our revenue will be lower but that bad debt will go down, so all through the portion of that bad debt to the growth we’ve had putting our pumps into new clients some of which we did not have the payor contracts.
Doug Weiss : So for modelling purposes, would you expect bad debt as a percent of revenue will decline over the next couple of quarters or is that too specific?
Eric Steen: I think you will see the bad debt to be pretty flat over the next couple of quarters.
Doug Weiss : And then I guess going to the utilization point and the fact that turnover is improving a little bit, is there – where are you in terms of – you made a major investment in pumps over the last year. How is the utilization on that investment, is there still more to come there, how far along are you on that?
Eric Steen: There is more to come on that. What happens during times of rapid growth, two things happen, we get a new client that once use our program, we order pumps, we get the pumps there to the clinic and there is a process as they convert patients maybe from – I know recently we picked up a lot of business for people that have been using disposable elastomeric pumps and so it’s different for the patients, so there is a longer process. So when we are growing rapidly, two things happen. Our utilization looks like to be down because we bought pumps that are not completely converted that account with every patient and then also pending goes up a bit as we are getting patients and that we are searching for the first time, and then it levels out. So through that large investment of pumps that we have seen, you will see better utilization and better revenue collection over time as we stream out our utilization and pending. Having the utilization down, and pending insurance claims go up are bad things that when it’s due to rapid growth it’s a high class problem that we know we can get streamed out over time.
Doug Weiss : And then on the IT spend and investment, the press release indicated you’ve invested 1.6 million in the quarter which I assume that’s all capitalized. I guess could you just confirm that? And then could you talk a little bit to what you expect to invest in the fourth quarter maybe in 2016 on IT?
Eric Steen: Yes, the 1.6 million is capitalized and that’s part of the $9 million that I talked about for the last couple of years now. We have identified $9 million for capital to do all these things for company that had been under invested in IT and where it was investing can now be differentiated, we have things for the customers that other companies don’t have and we will continue to see that. Now as we go forward our capital expense is going to go down but we will see a little bit increase in the future of the direct expense for the IT staff. And I am going to ask Mike McReynolds, our Chief Information Officer to provide a couple of comments on the future IT spend as well.
Michael McReynolds: Thank you, Eric. Next year we forecast about a 15% to 20% reduction in capitalized cost for IT. And like Eric indicated we do see increase in operational expense for maintenance and support of all these applications that we launched in the marketplace.
Doug Weiss : So 15% reduction, what’s the base –
Eric Steen: We will stick to the 20% reduction on that capital expense, which was 9 million over two years or 4.5 million, 5 million a year.
Doug Weiss : So you are going to go from – so basically like a 1 million reduction to about 3 million on capital spend for IT?
Eric Steen: Yes, that’s correct, Doug.
Doug Weiss : Appreciating the importance of making those investments, that still seems like a pretty high IT budget relative to the earnings and other metrics, is that – how long do you see making that level of investment in IT?
Eric Steen: I think we are still doing some things strategically in IT expense, we found some new opportunities to invest in and I think it depends on how you want to run the company, and I think there could be a strategy, now that we’ve made this investment, let’s turn off IT and let’s just cut off IT build and grow earnings, that for me I have got my eye on some bigger things and I think some of the continued investments in IT are going to allow us to expand in some further areas and so it’s part of our strategic plan, there is still bit more IT expense and most of the expenses, now a lot of the expense we’ve made is to make the operations more efficient and as we get more of our customers on InfuExpress, we’re going to see operational cost savings. There are good returns on investment, on all this IT expense and one of the things we are going back and looking at our original return on investment calculations to see how close we are to go, some are better, some are not as good but the investment we are making going forward isn’t just to continue to run the company as a $70 plus million company, it’s to take us to that next level, so we can be a $100 million company sooner rather than later.
Doug Weiss : In other words, I know you and I talked in the past that some of the early IT investments were somewhat defensive in nature. Do you see this increasingly sort of growth IT that will improve the growth rate?
Eric Steen: That’s a great question, Doug. Thanks for asking it that way to allow me to explain. So the very first investment in IT was to make sure we have the best system for our core business. As we know we’ve had some losses to one of our competitors, they had an IT offering, now we leapfrogged that and I mentioned net 145 new oncology clinics, so even we still have some losses this year but the tide has turned and we are growing that and you see that in our 16% net rental revenue, net collected rental revenue increase over third quarter 2014. I mentioned a million in EMR run rate and volume gain, another 2 million and we will see more. The second phase of IT investments is for our internal operational improvement, so this InfuExpress where now all the data is real time, so the customer, our field sales person, our customer service rep, our billing person, all are looking at the same thing at the same time and we’re going to reduce a lot of phone calls for chasing paper and we’re going to see those operational improvements in 2016, and now I have got my idea on some other areas. The phased oncology business is going well. We are going to invest some more in pain, and we’re going to get into some other things as well. So some of that IT investment we’re going to be making is to provide differentiated offerings that are going to make things easier for our customers, and make it very easy for them to do business with us and pump rentals in a variety of disease states and also with disposable products as well.
Doug Weiss : I have a couple of questions. Even so with EBITDA in the high teens at this point, even assuming $3 million CapEx for IT, and then a couple million for interest, you still have – should have quite a bit of free cash flow in the next few quarters. Can you talk a little bit about how you are prioritizing that as far as pumps versus paying down some debt and other possible investments?
Eric Steen: When we have an opportunity to grow revenue and grow market share, that’s job one. And if things have a solid internal rate of return for new bad business ventures, that’s what we are going to do. And then after that we want to pay down and as you know, we’ve talked before I have never been an acquisition first kind of a person but if we didn’t have a little acquisition that contributed $1 million of revenue for the quarter. So if there is a couple other things out there, that get brought to my attention, I am always looking at them, we’re going to be in a very strong financial position to pull that trigger any time the opportunity presents as well.
Doug Weiss : I guess I worry a little bit to people who don’t follow the story as close as we, there is not maybe the appreciation of the cash generating potential of the business, that there could be and one way to make it more clear would be to pay down some of the debt over a couple quarters. So that’s just one shareholder’s perspective.
Eric Steen: That’s Doug. That’s why I mentioned paying down debt and as Jon mentioned we are always two quarters ahead prepaying debt. So we are looking at our operations costs and we are showing the fiscal responsibility with two payments prepaid on our debt.
Operator: And our next question comes from Bill Gordon with Gordon Capital.
Bill Gordon : Two quick questions, one, can you give us a little idea of the competitive environment out there and part two, the Medicare issues little bit?
Eric Steen: Well thank you for your question. I know a lot of people want to talk about the Medicare and CMS, so I am going to handle that one first and of course it’s a pleasure to work with one of someone who I consider a real expert on the CMS and the Medicare reimbursement. So I’d like to ask Jan Skonieczny our chief operating officer. Jan, I get this question all the time, are you worried about CMS cuts in 2016?
Jan Skonieczny: No Eric, I think – I cannot actually say that the company has a clear understanding of the CMS cuts scheduled to take place January 1 2016 and I believe the impact of these cuts will be equal to approximately $2 million in 2016 and an additional $1 million in 2017. With that said, in preparation for these cuts, my team and I have been working to offset the impact of the cuts all year. Our payor relations team has been focused on adding new contracts to our already broad portfolio of contracts as well as negotiating new terms for some of our existing contracts contributing to an improvement in net collected revenue. These efforts will continue into 2016 and beyond. Additionally our entire operations team has been working closely with Mike McReynolds and his IT team to test and roll out various new types of applications and work flows that will greatly increase our operational efficiencies while streamlining our customer process for patient documentation, submission. The acquisition of Ciscura has also enabled us to open our fifth warehouse and order fulfillment center. This is important because that leads to faster turnaround of our pumps as well as reduced shipping costs as we ship more shipments to ground versus air. So these efforts along with various others have put us in a perfect position to continue our growth into 2016.
Eric Steen: Thanks, Jan. And now let me address the first part of your question, that is competitive environment, and let me segment the market and talk about the different areas first, and the first thing to talk about is our core business, the ambulatory pumps to oncology infusion clinics. I mentioned 145 net clinic gains this year and that doesn’t include the Ciscura purchase which I mentioned was $1 million in revenue a quarter. Now what’s happened in that marketplace is we see a lot of growth through hospital clinics that are currently using disposable products, disposable elastomeric pump and there was a widely publicized unfortunate incident that happened in Mid-Atlantic with a chemo patient on one of the elastomeric pumps that it’s just a balloon collapsing, there is no alarms, so risk managers in the hospital clinics see that and want the safety of the electronic ambulatory pumps and all the alarms and safeguards they have, and then also hospital clinics that own their own pumps, they have the capital expense, they are losing pumps, they have to have a 27 hour hotline and then we come in with our program and say we’re going to provide the pumps and bill the patients insurance, so that’s kind of help your budget, we’re going to staff a 24 hour hotline and handle all these calls off the hours, so you don’t have to do that, and we now have our EMR integration and InfuExpress, so there is not the big chase of paper work for insurance billing for these pumps, that offer is becoming so compelling that’s why we are growing so rapidly. We have two competitors that do the same thing that we do. We feel very proud of our IT investment and how that’s made it so much easier for our customers, and then the other markets, direct sales we are finding that we have such closer relationships with these almost 1900 oncology clinics where pumps are today, that’s selling the disposable products that we selected to have an catalog for safety and efficiency and cost effectiveness of IV pumps, pole mounted pumps for rent or sale, the IV tubings, the needle free valves, and now closed system transfer devices that protect those workers, that’s why I think we are seeing a 256% increase in run rate versus a year ago as we really start to sell some of these disposable products. So there are competitors out there that are electronic connectivity offering as we get sticky with these customers are fueling our sales.
Operator: And our next question comes from Raymond Myers from Benchmark.
Raymond Myers : Eric, with some of the IT investments now behind you and you’ve discussed a few more, you’re going to make in 2016, but beyond IT investments, what do you expect the focus of the company will be?
Eric Steen: Well one thing certainly is to put the patient on top of the organization chart, and there are safety technology coming out and we want to be at the forefront of that. The big thing in the IV pump business of course now is smart pumps, the electro-mechanical pumps that have onboard computers with drug libraries to prevent infusion errors and we are having a lot of success now, we’ve had some of our first ambulatory smart pump sales last quarter and when we can come in to our customers and it’s just through staff, the lowest price on the pole mounted pump, so when we can come in and help the customers look at their work flow and show them pole mounted infusion pumps that are not only safer for their patients but save the time of their clinicians I see us having a lot of success in the future by being missionaries of safety and that’s really going to be a distinction that we made that we are going to be bringing in to our customers ways to make cytotoxic infusions safer and the same thing as infusion goes out from the acute care hospitals and spreads across the continuum of care, and physician offices and skilled nursing facilities and long term care facilities, a lot of those facilities that are now growing their infusion businesses they need a partner like InfuSystem that’s not here to just push you one manufacture’s pump but we have over 70 models of infusion devices, so we can work closely with these customers and make the recommendation of what devices are going to be the safest, the easiest to use and the most cost effective for them.
Raymond Myers : So that we can frame the growth opportunities that are in front of the company, can you give us some sense of what the market share that InfuSystem has in each of its key markets today?
Eric Steen: Well, in the market that we are big, the ambulatory pump, oncology market, we’ve got I would estimate about 30% market share and growing, probably a bit more than that with the new place – we are sort of implementing as we speak to some of the large customers that are just coming on. Now in the pain marketplace our market share is tiny, we are less – little less than one-tenth of 1%, if a good news or bad news, our primary competitor in that place has a disposable elastomeric pump that they have priced very high, so we see in that marketplace a place for us to grow. Same thing with selling disposable products, there are lot of big full line distributors that are – box mover sounds like a negative term but I grew up in the distribution business and we have a full catalog with all these different products and you’ve got – given to the people, but we are a little bit different. We are focused on actually disposables for infusion, so again $3.8 million of disposable infusion products, it wouldn’t able show up on the market share report and I look at it as just big opportunity for us to continue to grow rapidly.
Operator: And our next question comes from Tom Maguire.
Unidentified Analyst: Are the numbers that you’ve provided for the pain management initiative, are they where you thought you’d be at this time or are they ahead or behind? And what’s the plan for adding to the full time sales force of – I think you have 2 currently?
Eric Steen: Yes, thanks for the question. The pain revenue is slightly behind the plan we had for this year. The run rate of patients is growing very rapidly right now. So it’s been more back end loaded. There are still some things that do with the pain program as we add sales reps. I have seen too many times and I have been a person too many times that goes out there and hires 10 or 20 reps to go take on the world and then there is a couple of enhancements to your offering that you need to really be able to put the throttle on. We developed BlockPain Dashboard that’s been very well received. We still want to bring some of the enhancements like the EMR integration and the InfuExpress from our oncology business now to our pain business. So some of the expense in IT we are going to have going forward is to streamline and automate the insurance billings of our pain business and when we have that with the bunch workout, then I am going to turn on the gaps and add to that pain sales force.
Operator: And our next question comes from John Boris.
Unidentified Analyst: My question is more along the strategic line and the share price for shareholders generally steady from about a year ago. You’ve got a company that generates cash and the enterprise value is significantly more than the market cap. Has there been any thoughts about combining with other companies or different kinds of ownership more of a strategic play?
Eric Steen: The first thing that I would say is I have got to do a better job of going out and telling the InfuSystem story and I admit that, that when I took this position this is my first gig as a public company CEO. I know a lot more about running the P&L, going out and gaining share in the marketplace and generating cash but I have done that for primarily a privately held business for the last long stretch of my career. And I have prioritized getting my arms around the day to day operations of the business and building the team and now I want to spend more time out telling the story. We did hire a new IR firm and I have been out with them and Jon and I went out and met some potential shareholders and I want to do some more of that because I do feel we are an underplayed story, we don’t have the analyst coverage and so we need to do a better job of getting that story out there. Regarding strategic in a place, yes, do I get calls from interested parties from time to time? Yes, I do. We are not looking out for sale, people that know my career, my 20 year career of caps, we got bought three times, we were never for sale, and so my experience is we got out to the marketplace and take share away from the big boys and get people’s attention that way versus having bankers do a strategic alternative process for you. So that’s been my approach but when I see the stock price, I certainly think I need to do a harder work for my shareholders and get out there and tell the story much better, and I plan to do that. End of Q&A
Operator: And we have no further questions at this time.
Eric Steen: Okay. Thank you very much. Appreciate everyone joining in and appreciate the questions and look forward to talking to you, to announce our year end results coming soon.
Operator: Thank you ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.